Operator: Good morning, ladies and gentlemen. Welcome to the Killam Apartment Real Estate Investment Trust Second Quarter 2025 Financial Results Conference Call. This call is being recorded on August 7, 2025. I would now like to turn the conference over to Mr. Philip Fraser, President and CEO. Please go ahead.
Philip D. Fraser: Good morning, and thank you for joining Killam Apartment REIT's Second Quarter 2025 Conference Call. I'm here today with Robert Richardson, Executive Vice President; Dale Noseworthy, Chief Financial Officer; and Aaron Caldwell, Senior Vice President of Finance. Slides to accompany today's call are available on the Investor Relations section of our website under Events and Presentations. I will now ask Aaron to read our cautionary statement.
Aaron Caldwell: Thank you, Philip. This presentation may contain forward-looking statements with respect to Killam Apartment REIT and its operations, strategy, financial performance, conditions or otherwise. The actual results and performance of Killam discussed here today could differ materially from those expressed or implied by such statements. Such statements involve numerous inherent risks and uncertainties. Although, Killam management believes that the expectations reflected in the forward-looking statements are reasonable, there can be no assurance that future results, levels of activity, performance or achievements will occur as anticipated. For further information about the inherent risks and uncertainties in respect to forward-looking statements, please refer to Killam's most recent annual information form and other securities regulatory filings found on SEDAR+. All forward-looking statements made today speak only as of the date which this presentation refers, and Killam does not intend to update or revise any such statements unless otherwise required by applicable securities laws.
Philip D. Fraser: Thank you, Aaron. We are very pleased with our strong financial and operating results for the second quarter of 2025. Killam delivered FFO of $0.32 per unit, a 6.7% increase from $0.30 per unit in Q2 2024. We achieved 6.7% same-property NOI growth across the portfolio, which included 6.6% same-property NOI growth in our apartment portfolio, 10.1% same-property NOI growth in our manufactured home community portfolio and 3.4% same-property NOI growth for our commercial properties. The multifamily fundamentals in Canada are still very strong, and our same-property apartment occupancy at the end of the second quarter was 97.5%, slightly lower than the 97.8% in Q2 last year. During the second quarter, we made meaningful progress towards our strategic targets listed on Slide 3, and we are on track to meet these targets by the end of the year. We remain very optimistic about the future of the Canadian apartment market, even as some markets see rental rates move down as supply catches up in the supply-demand equilibrium of the particular market. We will continue to focus on growing our earnings, cash flow and the underlying value of our assets. Dale will now take us through the financial results, followed by Robert, who will provide an update on our commercial portfolio. I will conclude with an update on our current and recent developments and our capital allocation strategy. I will now hand it over to Dale.
Dale Noseworthy: Thanks, Phil. Key highlights of Killam's Q2 financial performance can be found on Slide 4. Killam achieved solid earnings growth in Q2, including an increase in same-property revenue of 6%. This top line growth reflects continued demand for apartments in our markets. While many large metropolitan cities have experienced pressure at the top end of the rental market, Killam's portfolio has demonstrated its resilience, and we continue to see rental increases above historic norms. In the second quarter, as seen on Slide 5, we achieved a combined weighted average rental increase of 6.1%, which comprised of an average 13% rental lift on units, which turned in the period and an average 3.7% increase on renewals. In July, we continued to see strong rent growth with 9% rental increases on turnover. We're confident in our ability to meet our revenue growth target of 5% to 6% for 2025. Our leasing teams are nimble, finding there is strong demand for apartments when priced competitively. We've seen an uptick in rental incentives as a percentage of total revenue in Q2. Ontario accounted for almost half of the total incentives with the most significant increase attributable to Civic 66, which was completed in 2023. Alberta made up 1/3 of the total incentives with the majority attributable to the lease-up of Nolan Hill Phase 2. Killam aims to strategically maintain occupancy levels by offering targeted incentives as required. The use of rental incentives is expected to continue through the second half of 2025 in select markets and properties. Killam's Atlantic markets continue to outperform with New Brunswick and Nova Scotia leading the way in occupancy, rental rate growth and NOI growth. Looking ahead, we expect this trend to continue as Killam's Atlantic Canadian portfolio benefits from a diversified portfolio, offering competitive and affordable rental alternatives. Slide 7 includes our mark-to-market spread for the portfolio and by region. Halifax and Kitchener-Waterloo continue to lead with spreads over 20%. Overall, we estimate our mark-to-market spread is 13% across the portfolio, which has come in over the last few quarters as asking rents have decreased slightly and following the quarterly rental rate increases achieved. As expected, we're seeing an increase in turnover this year. Turnover year-to-date is approximately 12%, and we anticipate approximately 20% turnover for the year, up from 18% in 2024. In Q2, total same property operating expenses increased by 4.5% as detailed on Slide 8. The most significant cost pressure in the quarter was property taxes, up 5% due to higher assessed values and regional mill rates. Utility costs moderated in Q2, up 3.2% compared to 7.9% in Q1 as we started to realize the impact of the removal of carbon taxes, despite higher quarter-over-quarter natural gas prices in the maritimes. After a 6% rise in utility and fuel costs so far this year, Killam anticipates lower energy expense pressures for the rest of 2025 and into 2026. The removal of carbon tax is estimated to reduce natural gas costs through to Q1 2026. In addition, Killam continues to invest in solar panels and energy management initiatives to maximize operating margins and offset inflationary pressures. Year-to-date, Killam's same-property NOI is up 7.2%. We anticipate NOI growth closer to 5% during the second half of the year as rent growth gradually moderates. Overall, we expect same-property NOI growth for the year to be above 6%. As Phil noted, we generated FFO per unit of $0.32 in the quarter, up 6.7% from the second quarter last year. The increase was driven by strong NOI growth and the lease-up of recently completed developments. Killam's 3 most recently completed developments have contributed meaningfully to year-to-date performance, adding $2.7 million in FFO growth compared to the first half of '24. Offsetting these gains was higher interest expense compared to Q2 2024. However, the increase in interest expense is moderating with a smaller impact on earnings in Q2 this year compared to the increases experienced in 2024 due to lower balances on our credit facility, combined with a decrease in variable interest rates. AFFO per unit was up 8% in the quarter to $0.27. We expect AFFO growth to continue to exceed FFO growth looking forward as capital from selling older properties is reinvested in newer, more efficient buildings. Slide 9 includes average apartment mortgage rates by year versus prevailing CMHC insured mortgage rates. During Q2, Killam refinanced $94.6 million of maturing mortgages with $119.2 million of new debt at a weighted average interest rate of 3.52%. As part of our debt management strategy, we've actively increased our use of CMHC insured mortgages. At the end of Q2, 81.5% of all mortgage debt across the portfolio was CMHC insured compared to 94.6% a year ago. We expect to continue to increase the amount of CMHC insured mortgages as non-insured mortgages come up for renewal. We're pleased to show another quarter of strengthening our balance sheet metrics, as shown on Slide 10. At June 30, debt as a percentage of total assets was 39.6%, which represents the 6th consecutive quarter of reducing our debt balance. We've also improved our debt to normalized EBITDA to 9.58x. I will now turn the call over to Robert, who will discuss our commercial portfolio initiatives in more detail.
Robert G. Richardson: Thank you, Dale, and good morning, everyone. In the second quarter, Killam's commercial portfolio saw 4.8% revenue growth, driven by a 50 basis point increase in commercial occupancy to 94.6% and higher rental rates on renewals. Our Q2 2025 net effective rental rate on 17,500 square feet of new leasing was $24 per square foot. As well, for this quarter, we achieved a 16% weighted average increase in rental rates for 8,000 square feet of renewing tenants. Year-to-date, we have leased 28,400 square feet of new space and renewed 33,600 square feet of existing tenants for a combined 62,000 square feet of activity. We continue to see strong leasing activity at our commercial properties, including lululemon's first Prince Edward Island location at Royalty Crossing. Further establishing Royalty Crossing in Charlottetown's key retail destination. Additionally, we leased 17,000 square feet for a 10-year term to the Prince Edward Island government for a patient medical care center as well as a mental health alliance office. Consequently, we are now negotiating with a 2,500 square foot pharmacy to support these medical services. We have also signed 2 food users to 10-year leases for the ground floor retail space at our 171 suite Civic 66 property in Kitchener. When Killam acquired the 306,000 square foot Westmount Place in Waterloo, Ontario in 2018, please see Slide 12. The site's 16.6 acres of development potential was the main attraction. This and the fact that 82% or 250,000 square feet of the center had a weighted average lease term remaining of 8.4 years with the following tenants: Sun Life with 197,000 square feet, Loblaws with 33,000 square feet and Michaels with 20,000 square feet made for a compelling purchase. Sun Life has formally advised Killam, it will vacate Westmount Place March 31, 2026. We have been working with a national commercial real estate brokerage since the start of 2025, and we are experiencing very strong leasing interest. Active inquiries include insurance to technology companies, professional office users, a pharmacy, a grocer, large footprint health and fitness uses to name a few. The potential tenants space requirements range from 10,000 square feet to over 100,000 square feet. Based on the level of inquiries and given Westmount Place's prime location with proximity to uptown Waterloo and surrounding university campuses, excellent parking and transit access, ground floor retail space having 18 feet clear height with 2 loading docks and 3 upper office floors that have abundant natural light from floor to ceiling glazing. The former Sun Life premise has much to offer. Now that Sun Life's lease is ending and subletting is off the table, Killam can better attract tenants canvassing the market for near or longer-term leasing options. Most recently, late last month, Killam was able to respond to a request for proposals from a large international tenant that could take occupancy in 2026. No response yet, but we expect to hear back shortly. Killam is budgeting to replace the net operating income generated by the Sun Life tenancy within 18 months to 24 months by leasing 50,000 square feet by the end of Q2 2026 and 50,000 square feet each quarter thereafter until full. Ambitious, yes, but we were ambitious when we bought 100% of Royalty Crossing in 2019, a 370,000 square foot enclosed mall that was generating $2.2 million net operating income at that time. Today, it is tracking to deliver $5.5 million of net operating income in 2025. Less vacant for 2026. The Sun Life's space would cost Killam approximately $3 million net operating income. However, we expect to attract several high credit tenants before June 30, 2026. We will be in a better position to update you on our prospects when we report in Q3 2025. I will now hand you back to Philip to provide an update on our capital allocation strategy.
Philip D. Fraser: Thank you, Robert. During the second quarter, we completed the sale of 318 units in Gander and Corner Brook, Newfoundland for $18.5 million with net proceeds of $14.4 million and 128 units in Charlottetown, PEI for $15.9 million with net proceeds of $9.2 million. Subsequent to the end of the second quarter on July 3, Killam sold a 60-unit townhouse complex in PEI to King Square Development Corp Development Corp Development Corp. a non-profit government-funded charity for $9 million. We expect to close the sale of a portfolio of properties by Friday and PEI to a local buyer containing 521 units for $81.9 million with net proceeds of $40.3 million. This will effectively complete our PEI apartment disposition program. Looking ahead to the remainder of the year, we have one firm agreement to sell 99 units in St. John, New Brunswick for $17 million, which is expected to close on or before the end of September 2025. On July 22, Killam purchased 3 buildings containing 114 units in Fredericton, New Brunswick for $28.7 million from RJC Properties, Inc. Killam has purchased several other buildings from this vendor since 2011. The property contains a mix of 1, 2 and 3 bedroom units with an average size ranging from 839 square feet to 1,600 square feet. The average in-place rent for the property is $1,545 per month or $1.32 per square foot, making these units very desirable with a runway for strong organic growth. On July 29, Killam completed the purchase of the remaining 50% interest in Frontier, Latitude and Luma apartment buildings located in Ottawa from our JV partner, RioCan. The combined purchase price was $136 million, which included the assumption of debt. We are pleased to report that The Carrick's first tenants moved in during June and that it was substantially complete on July 1. As of today, the building is 60% leased. The Carrick, as shown on Slides 16 and 17, is Killam's first all-electric heating and cooling system building using heat pumps and electricity, so the building does not require natural gas for day-to-day operations, which leads to higher margins and operational efficiencies. As shown on Slides 18 and 19, construction continues at Eventide, our 55-unit building in downtown Halifax. Completion is expected by Q3 2026. Slides 20 to 22 show progress to-date at Brightwood, our 128-unit wood-frame building located in Waterloo, adjacent to our existing Northfield Gardens property. Completion is scheduled for June 2026. Pre-leasing for both developments will start in October. In Halifax, we are working on our 95-unit development at Victoria Gardens and 150-unit development at our Harlington Crescent community. These developments will utilize vacant land on our existing sites, creating additional density without displacing existing tenants. We aim to begin at least one of the above mentioned developments by the end of the year, and we are looking to use ACLP financing programs from CMHC, which reduces the overall development risk by providing below market interest rate construction loans. I'd like to take a moment to discuss the Kitchener, Waterloo, Cambridge market, highlighting our investments in the region and its importance to our long-term growth strategy. We made our first investment in the region by purchasing 2 apartment buildings in May of 2010. We have since grown our portfolio to 9 properties, including Westmount Place. These properties contain over 1,500 units, of which we have built 1/3 of them. In addition to Brightwood, we own land in the region with the development potential to build over 1,200 units. We have installed solar panels at 5 of these 9 properties, which currently has a 1.2 megawatts of capacity with an average electrical rate of $0.13 per kilowatt hour plus HST, these projects are expected to yield over $180,000 in utility cost savings annually, and their production represents approximately 25% of our common area electrical consumption in the region. We plan to add solar panels at the other 4 buildings at Northfield Gardens and Brightwood, as shown on Slide 23, increasing our total regional capacity to 1.8 megawatts, representing 30% of our common area electrical consumption in the region. To conclude, we are very pleased with our Q2 2025 performance. We remain committed to investing in high-quality assets and developments, executing our overall strategy and creating value for all our unitholders. I want to thank our employees for their hard work and dedication. I will now open up the call for questions.
Operator: Your first question comes from Michael Markidis of BMO.
Michael Markidis: Just with respect to PEI, it looks like following the pending sale, you'll be down to about 150 units. Phil, I was just wondering if you could comment on your plan for the rest of the apartments in that market? Then what that means, if anything, for Royalty Crossing as well?
Philip D. Fraser: Yes. I think once we do this transaction today or tomorrow, we will only really have a few apartments at 3 different locations, 8, 14 and a 60 unit. We're almost down about half of what you just said. The plan is to basically run them out of the -- from the commercial side at the mall. In terms of the future of the mall, we're still working on that. We still have huge opportunity in terms to add a little bit in terms of some pad space. There's still a little bit of vacancy throughout. We're still working on trying to increase the NOI at that center.
Michael Markidis: If I hear you correctly, you've got more runway to go with Royalty Crossing, but the remaining apartments there is the plan to just divest those in the near future? Or is there any?
Philip D. Fraser: Yes. I mean they're still on the list to sort of sell, but I think this big transaction, it really does reduce our ownership there down to very little.
Michael Markidis: Just with respect to the your renewal spreads, I guess, last year, we had seen a pretty nice healthy uptick in renewal spreads in Q2 versus Q1 just because of the large proportion in Ontario. We didn't really see that this year, but it seems like you still have a pretty healthy mark-to-market in certain markets, specifically Halifax and New Brunswick. Just curious if you could give some thoughts as to why we didn't see the same uptick in renewal spreads this year that we did last.
Dale Noseworthy: Well, partially, New Brunswick plays a factor in that, I'd say, because we didn't have rent restrictions in New Brunswick last year versus this year, so that's part of it. Also, when we look in Alberta, I mean, that's one area that we know that the mark-to-market is not as strong as it had been. Although, we don't have rent controls there, on the renewal, it's not the same story as it was last year in terms of renewals. I think those are overall same with well, I guess, we have control our control in BC. I'd say those are 2 of the factors that have changed compared to last year.
Michael Markidis: Would you guys still be close to 5% on the stuff in Halifax?
Dale Noseworthy: Yes.
Operator: Your next question comes from Jonathan Kelcher of TD Cowen.
Jonathan Kelcher: First question, just on Westmount Place. Is there any subleasing there right now? Is that an opportunity for you guys?
Robert G. Richardson: No, Jonathan, there is any subleasing there now.
Jonathan Kelcher: Then as you lease this up, what sort of budget do you have for leasing costs and Tis?
Robert G. Richardson: Just deciding if I want to share that information to tell you the truth. The market will demand what it's -- we have a mix of office and retail there, so it will be different. Overall, I'd like to think that we can get away with nothing more than a round number, $10 million.
Jonathan Kelcher: Then, Phil, just on the capital recycling, I guess the RioCan stuff wasn't really anticipated at the beginning of the year or maybe it was. How should we think about acquisitions versus dispositions? Are you going to be roughly equal as we go forward over the next 1 to 2 years?
Philip D. Fraser: The first part of your question, Jonathan, it wasn't anticipated, but we were very happy to sort of look at that opportunity and end up acquiring all of it. I think, again, we would have been saying a year ago that we got this plan for dispositions. It's the third year, and so overall, over the 3 years, we've done about 2,500 units and about 300 and maybe $40 million or $60 million of dispositions. We have still opportunities to sort of sell a number of assets next year. We're almost back to what I would have been saying a year ago because, again, we'll look at it once we do have that cash, whether we have any money left on the line, whether we're looking at the NCIB or acquisition opportunities.
Jonathan Kelcher: If we skip ahead a couple of quarters to your strategic targets for next year, could we expect to see sort of sell X dollars worth of non- core assets and an acquisition target creep back in there?
Philip D. Fraser: You know what, it's a little early for that. I think we'll have a better understanding of what we want to do by the third quarter from a 2026 acquisition or disposition targets.
Operator: Your next question comes from Jimmy Shan of ODT Capital Markets.
Jimmy Shan: RBC, I suppose. Just with respect to Halifax rent, the new builds, I think you had mentioned is coming in north of $2,500 a month. What's been the recent trends in market rents in terms of the new builds that you've seen? Has it changed dramatically more or less than the existing apartment buildings?
Dale Noseworthy: Sorry, just to clarify, you're asking what in the market asking rents have been on new supply delivered?
Jimmy Shan: Correct.
Philip D. Fraser: Well, I mean, we hear -- I mean, it's basically a lot of these would have pro formas that are between 2,000 and 2,500. The best that we sort of can gauge is looking at their websites and seeing what the asking rents are for all these new products or buildings. It kind of varies depending on the location and the size of the units. Basically, we know that a lot of the new rents are over $2,000 asking in the market and continue at that level.
Jimmy Shan: Yes. I guess really what I was trying to get a sense of is whether or not you're seeing a little bit more pressure in the newer builds versus the existing product and certainly the trend that we're seeing here in Toronto. Any comment on with respect to that?
Dale Noseworthy: I mean, I think this we've talked about this the last few quarters, and I think it continues that as we're asking more rents, people have more options. I'd say, there are some incentives being offered by competitors in the market and even select buildings in this market for us, not very many, but there are some. I'd say that there's more opportunity, of course, as the rents go down for rent growth. I'd say there's more pressure at the top end than more affordable. I'd say, it's been felt pretty consistent for the last couple of quarters on that front.
Robert G. Richardson: I would say that on the new builds, there's maybe a bit of a slowdown in the pace of lease-up, so we're seeing that. On the Peninsula, less so, but more if you're suburban, they see a bit more pressure, but overall, the market is absorbing the new product.
Jimmy Shan: Then within your Halifax portfolio, rental incentives, is that still a fairly modest amount, if any?
Dale Noseworthy: Very modest. Most of the incentives we're seeing is on Ontario and the West.
Philip D. Fraser: Just look at our average rent, it still is in the $15.95 in Halifax.
Jimmy Shan: Yes. quite a bit of a buffer. With respect to Carrick, is that performing in line with your budget? It seems like there's been a significant amount of pre-leasing. It seems like it's leasing up reasonably well.
Philip D. Fraser: It's leasing up to our NOI pro forma budget for sure. A lot of that has to do with that we really did start a lot earlier than we have in the past, and it really has made a good sort of dent into the overall leasing program.
Operator: Your next caller is Kyle Stanley from Desjardins.
Kyle Stanley: Maybe just building on Jimmy's line of questioning in Halifax. What are you seeing from the other operators today? Is there a general desire to preserve rate? Or has the focus really shifted to maintaining occupancy? Just trying to determine just given the fact that there's fewer mom-and-pop condo investors impacting that market relative to maybe some of the others, how things progress in the next 12 months to 18 months?
Robert G. Richardson: I think they're preserving rate. They don't have to come off it very much. I think that, that is their main goal is to preserve rate, and the market seems to be cooperating for the most part.
Kyle Stanley: I didn't see it in the presentation, but I think in the past, you provided the turnover detail or the breakdown of leases turning and the length of stay. I was just wondering, is there anything you're seeing in the market today that would suggest maybe the mix of suites that turns over the next 12 months to 24 months could skew a little more to the ones with a deeper embedded rent? Or is the view that, that mark-to-market likely stays intact and maybe rental levels settle a bit lower than where they are today, but still above long-term average as a result?
Dale Noseworthy: I think it's pretty consistent with what we've seen in terms of approximately half of the turns have been tenants for approximately a year. When we look at what's happening as those units turn, we probably have, what is it, 15% to 20%. Some of them are rolling down, which is why we're seeing a decrease in our average that we're able to achieve. That mark-to-market does look at those, right? That contemplates that when we're looking at that mark-to-market of 13% that takes into account those units that we would have leased in the last year that would be at or maybe some above market.
Philip D. Fraser: But very little, if any, really rolling down in Halifax.
Dale Noseworthy: I agree.
Philip D. Fraser: I think Kyle was asking about it.
Dale Noseworthy: Sorry, you're right.
Kyle Stanley: Maybe just the last question. I think that there's a lot of talk on, obviously, the revenue growth outlook and it's still being very healthy, but slightly lower than it's been over the last few years, but it looks like OpEx will be the lever over the next maybe year or 2 that can help enhance NOI growth. I'm just thinking or just curious, what's your outlook for OpEx as we kind of get into 2026? What are you doing or what more could you potentially do to help with that?
Aaron Caldwell: Yes. I mean I think when we look forward to next year from a utility perspective, with the removal of the carbon tax and having that benefit in Q1 '26, we would hope that we would see that overall utility expense be lower than what we had this year, and reminder, this year was a very cold winter as well. Year-over-year, you may benefit from that. I think on the regular operating expense side, there's still opportunities within our portfolio coast-to-coast to manage those expenses. Then property taxes, that one is always up in the air, but I think there may be a bit of opportunity. We're hearing maybe some assessments may stay in certain regions a little more flat next year. We may see that compress a bit as well. I think there is opportunity when we look to '26 compared to where '25 is coming in to date.
Dale Noseworthy: Insurance is actually, we've had a win on insurance in terms of rate coming down. We haven't seen that in quite a while. That we're starting to see more leveling off of expense pressure.
Philip D. Fraser: Yes. Then, Kyle, the last thing is just as I was talking on the sort of the first part of the call, every time we do a solar install, it's reducing those operating expenses on the electricity side. They do save money long term and they do it soon as you get them up and running. Highlighting what we've been doing in basically the Kitchener Waterloo is a big plus. Obviously, we had solar panels in PEI that we will no longer own, but we're quickly sort of backfilling that from a company-wide point of view, we've got a number of them going in, in New Brunswick right now and also West in Alberta. All that just is a plan to reduce the overall consumption and cost on our expense side that we can control.
Dale Noseworthy: Margin expansion, too, like with the sale in PEI, we've seen that margin move up nicely, and that should continue to grow, which is really going to help in terms of making its way to the NOI line.
Philip D. Fraser: Exactly.
Operator: Your next question comes from Matt Kornack of National Bank Financial.
Matt Kornack: I apologize if I missed it, but is it possible to give a ballpark cap rate on the dispositions and PEI?
Philip D. Fraser: Sure. 5.27%.
Matt Kornack: That's a pretty precise ballpark. Then just on the CapEx side, again, second quarter in a row where it's been lower. It looks like it's mostly in the building improvement and other, not necessarily the suite area. Is that something that's a function of the age of the portfolio? Or is there a proactive approach to spending less on building improvements at this point?
Robert G. Richardson: Did you say that again?
Matt Kornack: Just in terms of CapEx, it seems like building improvement spend is down. I mean total CapEx is down this year relative to last year, but relative to kind of historic norms as well. Just interested in what's driving the lower CapEx spend at this point?
Robert G. Richardson: It's just the timing of the projects. We will finish the year very similar to the last 2 years in terms of total investment on capital.
Matt Kornack: Then on suite repositioning, I know in the past, you've broken out the rents you're achieving on the standard turns versus the turns where you're putting a little bit of CapEx into suite renewal. Can you give us a sense as to how that looks today and your desire or plan to do more or less suite investment going forward?
Dale Noseworthy: Yes. I think we're 40% to 50% rent growth in terms of those repositioning. There are still opportunity for those. I think we will end around $250 million this year, but we're looking to make sure that, that capital investment that we get the return compared to if we did a little bit less what we could get.
Philip D. Fraser: We've done about half of that so far this year.
Dale Noseworthy: Yes.
Matt Kornack: Maybe last one. I mean we've gone through a period where you've had outsized rent growth. I don't think anybody expected that, that would last forever. As you see things normalizing, what is your expectation if inflation is, call it, 2.5%, where would you think rent growth stabilizes at over a medium-term basis?
Dale Noseworthy: I think 3% to 4%, medium term.
Matt Kornack: I won't hold you to that, but it seems reasonable.
Dale Noseworthy: No, not for next year, but looking out a few years, that's where I would expect.
Operator: Your next question comes from Mark Rothschild from Canaccord Genuity.
Mark Rothschild: With construction costs coming down in general, are you seeing this impacting the yields at all on development projects? Would this possibly lead to maybe a greater emphasis on investing even more in some new projects in the near term?
Philip D. Fraser: It can depending on where it's located, but also in some locations, if the costs are going down or you're switching from concrete to wood, you basically, even if you target a 5% all-cash yield with lower cost per door, it just means that you're asking rent starting out is that much lower and easier to sort of be absorbed and more affordable. Again, if you're tapping into the CMHC programs, where there is going to be a component of affordability, then it just makes that overall project that much easier to start to build from a financing construction cost and then a fully leased out new building.
Mark Rothschild: Then just maybe one other question. It seems like the potential for turnover to increase. Is this something that you think is likely to happen? Would it be market dependent or property age, maybe quality of building dependent? How do you see that impacting perhaps your revenue growth over the next year?
Philip D. Fraser: Sorry, Mark, what was the first part of that question?
Mark Rothschild: It seems like there's potential for turnover to increase overall. Curious if you're actually seeing that or expecting that to happen? Just how would that vary by market and maybe age of building?
Philip D. Fraser: Yes. I mean, your first comment, we are seeing where we went down from our pre-COVID 33% down to 18% last year, and we think we're going to be around 20% this year. That's the bottom for us, and it's starting to sort of trend upwards. Again, if you're looking to break that up, obviously, I think the highest turnover is still in the Alberta market because at one time, that was 50%. Ontario will probably be on the low end, and we are just starting to trend up in Atlantic Canada a bit.
Mark Rothschild: Maybe just clarifying that or following up on that. Do you see that potentially helping your revenue growth pick up over next year, maybe offset slower rent growth?
Philip D. Fraser: It will in Atlantic Canada because, again, a lot of the sort of the turnover will be units where we do have a good healthy mark-to- market for sure.
Operator: Your next question comes from Gaurav Matura of Green Street.
Gaurav Mathur: Just one question from me. Just given the conversation around moderating rent growth, could you perhaps tell us where you expect mark-to-markets to be by the end of the year? What that effect would be on turnover rates as well?
Dale Noseworthy: Mean I think if we're at 13% now, as we continue to rent growth and if we assume market rents stay relatively stable, maybe over the next 6 months, we could end the year maybe it's 12% mark-to-market, I'd say, would be my guess. Then impact on turnover. I mean, I think that what we're seeing now, as Phil just talked about, I think we'll end up just over 20%. We're already seeing the impact. People have choice today where they didn't have a year ago, 2 years ago. People can move and find a place to live. I think we're already seeing that impact. I don't see a big change in the next 6 months.
Operator: Your next question comes from Michael Markidis of BMO.
Michael Markidis: Just a couple of follow-ups for me. Dale, I might be reading too much into this, but I think you said 3% to 4% would sort of be your guesstimate for medium-term rental growth, but you said not next year. I'm just curious if not next year means better than 3% to 4% or lower than 3% to 4%.
Dale Noseworthy: I think '26 will be better than 3% to 4%. Especially, when we look at revenue growth because we're -- as we start even this quarter, we're already going to benefit half the year next year for what we're doing currently. That's why I think it takes a little while.
Philip D. Fraser: Yes. It's maybe even 2 years out.
Dale Noseworthy: Yes.
Michael Markidis: Then just maybe circling back to Westmount. I guess if I do the math, I think you said $3 million of NOI on the $197 million. That's a net rent of maybe just a little over $15. You gave us sort of a ballpark, Rob, on CapEx, but I was just wondering if you could give us sort of a ballpark on where you expect rents to actually come out once it's all said and done?
Robert G. Richardson: What we know in that market, the office rent is on a gross basis between, say, $30 and $32. On a retail basis, it would be $25 to $35. We think that the market -- what we're seeing right now on the retail side, we're told that the market is about -- sorry, 5% vacant. We think we can get to the higher end of that range. We have 90,000 square feet on the ground floor at this building. There's a real opportunity there, and we have a number of inquiries that are geared towards the retail side. We'll see how that plays out, and on the office side, we also have quite a few inquiries. In fact, we would have made a response to a request for proposals last week, and it was for a tenant that's over 100,000 feet. We're in the range of the market. For us, working with the existing rent, the delta should be 25% to 50% higher when you talk about the net rent.
Michael Markidis: I guess, presumably, because I'm just looking at where this sits on the side, it's better for you to re-lease it as commercial space than to incorporate it or try to get zoning for additional multi density over time?
Robert G. Richardson: Yes. That building is valuable. Frankly, from a green perspective, it's definitely the right thing to do. We're happy to work with it. The former tenant Sun Life maintained it very well. It has a massive generator. It's something we can work with. We're seeing a lot of inbound calls about what we can do there. We're pretty optimistic.
Michael Markidis: Then just given the cadence of the -- what you -- and I get it's just a plan at this juncture, but it sounds like the $3 million annualized impact that certainly won't be what you expect to do have for a full-year basis because I guess they leave at the end of March and then you expect to get some leasing done in Q2 and then staggered there out?
Robert G. Richardson: Right. The tenant is in place until the end of March, so that's good. We're in the market talking to a number of potential tenants. We'd like to think we can get that done. I would say, in terms of the ability to execute here, I do look at Royalty Crossing, and we've done a tremendous number of deals there over the last 4 years, 5 years. We have the ability to do it, and we've proven it. We're looking forward to this opportunity.
Philip D. Fraser: Yes. Again, the other thing, Mike, it's been a very interesting exercise over the last couple of years with the current retail that we have in office and the demand because of the location and taking that and comparing it to what we want to do from a development on the apartment side. We've owned it now for almost 8 years, 7 years, and we finally got the first building up and open. We got plans for -- in the drawing short term, long term of Phase 2 and Phase 3. We know that we will have enough land to do our 1,200-plus the building that we've got up and running. It's just about how we phase this in, what type of tenant that we want there and how that complements what we're going to be doing on the multi-res side, which is our main business. Overall, we just think that even if we didn't know it when we bought the center years ago, this is a very good location. That helps a lot.
Robert G. Richardson: I'd highlight one more on the site, Mike. When you take a look at the vacancy in the KWC area, it's north of 20%, call it, 22%, but this asset is located in Waterloo core, and it only has 3.5% vacant, and that's about 50,000 feet. We're not aware of another block of available vacancy that is as large as ours, let's call it, for a round number 200,000 feet. That may be one of the drivers for some tenants to say, that can work for us, and we'd like to take a look at it.
Michael Markidis: Is the 200,000 square feet, that's all office because I think you said, there's some retail ground floor opportunity there as well.
Robert G. Richardson: It's a mix. Actually, the ground floor of this building was originally a -- it was a mall. I'm trying to think of the retail -- the main retail tenant. It has that square footage and then it goes up. The next 3 floors are 34,000 feet each. You got 100,000 feet there and you get the 90,000 on the retail side. We have flexibility.
Michael Markidis: Just from an accounting perspective, while you're going through the re-leasing side, will you be able to capitalize the OpEx, while you're re-tenanting that property? That's technical Dale. I don't know if you have an answer for that or not.
Robert G. Richardson: It's a very good question.
Dale Noseworthy: Stay tuned.
Robert G. Richardson: We're looking into it.
Operator: There are no further questions at this time. I will now turn the call back over to Philip Fraser. Please continue.
Philip D. Fraser: Thank you. This concludes Killam's Q2 2025 Analyst Call. Thank you for listening and participating today. We look forward to reporting our Q3 2025 financial results on November 5, 2025.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.